Operator: Thank you for standing by, and welcome to the Ramelius Resources Half Year Results Briefing. [Operator Instructions] I would now like to hand the conference over to Mark Zeptner, CEO and Managing Director. Please go ahead.
Mark Zeptner: Thank you, Travis. Good morning, everyone. Thank you for joining us to discuss our half year results to December 2025. Alongside me is our CFO, Darren Millman. Today, I'll start with a brief overview of the operating performance and some recent updates at Dalgaranga before Darren goes through the underlying earnings and financials in more detail. We have uploaded to the ASX this morning along with our website shortly, a number of documents, including our half year '26 financial summary, the half year accounts, interim dividend and a presentation that will largely be speaking to this morning. So we start on Slide 3. Here, we set out our gold production for the last 2.5 years. Operationally, performance was in line with our expectations highlighted in the 5-year growth pathway released last October. As you can see in the graph, this period is our lowest production level with 101,000 ounces produced with Edna May being placed into care and maintenance in FY '25 and the Cue mine performance returning closer to geological model predictions. Production is on track to deliver FY '26 guidance, which is a touch below 200,000 ounces for this year. Moving on to Slide 4. We announced yesterday that first ore from the Never Never deposit at Dalgaranga has been hauled to the Mt Magnet processing plant. This is a key milestone in realizing our vision to become a 500,000-ounce producer by FY '30. Thanks to the dedication of our team for this achievement and it's an important milestone just over 200 days over the closure of the combination with Spartan. And at the end of January, we had a healthy 31,000 tonne stockpile of Never Never ore at a grade of 3.6 grams per tonne at Mt Magnet. Now whilst this grade is below the reserve grade of 7.3, it should be noted that this ore is all development ore and from the top part of the ore body. From March, we are planning to blend this initial lower grade ore with other Mt Magnet ore sources. Higher grade parts of the stockpile will be introduced in the June 2026 quarter once fine-tuning has occurred at the Mt Magnet plant. On to Slide 5, you will see the Never Never mining schedule. We are on track, both in terms of tonnes and grade. And from FY '28 onwards, these metrics significantly increase as the main section of the ore body is accessed. Turning to Slide 6. Key mining and production highlights. Pleasingly, tonnes mined were up 64%, with the introduction of a third fleet excavation fleet at the Cue pits and mining also taking place at a lower strip ratio. The mine grade was down 46% to 2.66 grams per tonne, but we are comparing this to a period which included mining from the Break of Day pit at a grade of 7.9 grams, which is quite remarkable for an open pit. At the group level, milled tons were down due to Edna May now being placed into care and maintenance. However, at Mt Magnet, throughput improved some 18% with a new line of design that we had discussed previously being an optimized material blend and very high mechanical availability. As expected and planned, mill grade and production was down as we await the introduction of Dalgaranga high-grade ore. The half year financial performance benefited from strong [ $8 ] gold price with reducing hedge book commitments, resulting in a 36% increase in the realized gold price. Without stealing too much of Darren's thunder, I would highlight that we delivered a very strong all-in sustaining cost margin of $2,921 for every ounce sold. And I think you agree this is a very impressive return and one that we see is only increasing with our reduced hedge book commitments going forward. With that, I'll hand over to Darren.
Darren Millman: Thank you, Mark. For those following on the presentation, I'll be initially speaking to Slide 7 and our underlying earnings. It's important to talk about our underlying earnings as there were significant one-off and noncash adjustments between the statutory and underlying earnings in the half, primarily relating to the Spartan acquisition. We have previously highlighted these 2 significant adjustments that were recorded in the period. These included $133.2 million of nonrecurring acquisition costs, which with estimated stamp duty payable of $131 million of this. The other adjustment of note is the $46.6 million noncash fair value adjustment to Spartan's pre-existing royalty obligation. This reflects 2 things: firstly, high consensus gold price forecast since acquisition; and secondly, a high level of confidence of the ore body with the release of the maiden ore reserve for Never Never deposit. While this is a cost to earnings, it is reflective of higher expected future revenue. This will be a recurring adjustment every reporting period, whether it is at a level or not seen today, but will be largely attributable to gold price and changes in oil reserves across the Dalgaranga mineral properties. Moving on to Slide 8. Earnings were generated from revenue of $485.6 million, which is down 4% from the prior period with lower gold production being the offset almost in full by the improved Aussie gold price and reducing hedge book commitments at a higher realized gold price. The resulting underlying EBITDA of $347 million at a margin of 42% is a H1 record for the company and up 13% on the prior period. Again, the driver behind this is the improved realized gold price. The reported underlying net profit after tax of $160 million was comparable to the prior period of $170 million despite lower production. On Slide 9, we have provided more detail on the Mt Magnet earnings and operations, Mt Magnet which generated a gross profit of $244 million, which is comparable to the prior period, albeit at a slightly lower margin. The lower margin was driven by higher cost per tonne and a lower milled grade. The operating cost per tonne was in line with expectations, was higher than the prior period due to increased tonnes from Cue, which was of a higher grade, was higher strip ratio, incurs a higher haulage charge to Mt Magnet and attracts a higher amortization charge relating to the purchase price initially. Also contributing to the higher operating costs in the reporting period was an increase in underlying tonnes in the ore blend. The resulting gross margin increased to $2,413 per ounce sold. The Mt Magnet hub will only be benefited with future introduction of the Dalgaranga ore feed. Moving on to what really matters, cash, which is being detailed on Slide 10. Operating cash flow of $311.6 million was largely in line with the prior period. However, the free cash flow, which is cash flow from operations less the cash used in investing was an outflow of $40 million. This was not unexpected given the acquisition of Spartan and an increased exploration budget and the final FY '25 income tax payment. The closing cash and gold balance was $694.3 million. Secondly, we invested $211 million back into the business. This includes $73.4 million for the acquisition of Spartan, net of $199 million cash acquired, investing in the development of the Never Never and Dalgaranga infrastructure and our exploration focus. Last, we paid $148 million in income taxes in the period with $130 million of this relating to the final FY '25 payments. The last of these large one-off income tax payments have now -- were more regular payers in advance of income tax. Looking forward for the remainder of FY '26, do keep in mind the stamp duty, which is payable on the acquisition of Spartan of approximately $131 million. The timing of payment -- the timing of this payment is out of our hands, but it could be reasonably expected at back end of FY '26. Moving forward to Slide 12. I would just want to touch on the acquisition relating to Spartan. As you will see on this slide, the total acquisition of fair value was $2.8 billion, which includes our initial $19.9 million investment. What is worth highlighting is the cost of the asset to Ramelius is $2.3 billion, which takes into account the cash we acquired and the cost of initial investment as proposed -- as opposed to the fair value. As noted, there are tax synergies available to the group from the acquisition. First, the use of Spartan tax losses, which we have now concluded our analysis of the tax losses and obtained the external tax advice. The analysis shows that tax losses with a net cash benefit of $105 million can be transferred to the group, the use of which compares favorably to the $90 million we initially flagged in a growth pathway presentation back in October. This is a real and immediate benefit to the group with a net amount of just under $20 million losses being used in the December half year. And moving on to the balance sheet on Slide 13. Ramelius remains in a very strong financial position with just under $600 million in working capital and net assets of $4 billion. Subsequent to the end of this period, we have further enhanced our balance sheet flexibility and funding optionality for replacing our existing $175 million credit facility with a $500 million credit facility. We later put this new facility in place in recognition of the company's significant change in capital structure post the acquisition of Spartan and pleasingly, we've been able to improve our overall commercial terms and increase the tenure. Before handing back to Mark for closing remarks, I just want to highlight our recent activity with our hedge book on Slide 14. We have closed out our FY '27 hedge book at a cost of $28.4 million, and we have committed to, in fact, they've already started predelivering the June quarter forward contracts in the March quarter. The outcome being from the end of March, we'll have no forward contract hedges in place, and we'll have more exposure to the Australian gold price. The chart on the left of the slide shows the historical cost of the hedge book. That is what is being eliminated by the actions we have taken on our forward contract positions. We do still have a level of cover in FY '27 and FY '28 with [ collars ] in place for FY '27 of 22,500 ounces of a floor of $4,200 and a ceiling of $5,906 and put options in place for FY '27 guaranteeing a minimum price for 40,000 ounces at $5,750 per ounce. With that, I'll now hand back to Mark.
Mark Zeptner: Thanks, Darren. Slide 15 shows our capital allocation and priorities and one that you perhaps are familiar with. The phase that we are in now is in the middle section, reinvestment in the business. And as we have highlighted previously, we have committed to a $0.02 per share minimum dividend for FY '26. And as such, it is pleasing that $0.03 per share fully franked interim dividend has been declared this morning, exceeding the minimum annual amount. This interim dividend is discussed on Slide 16. So if we turn to Slide 16. This is the second consecutive interim dividend paid by Ramelius and this equates to a total amount of $57.7 million or $574 per ounce produced. It takes the total shareholder returns over the past 5 years to almost $320 million at an average of 18.8% per annum. In summary, this was a solid half year result delivered during a transition phase for the business. We entered the second half with a strong balance sheet, significant liquidity and improving production outlook and leverage to a strong gold price environment. That concludes the presentation. I'll now hand back to Travis to open the phone line for questions firstly.
Operator: [Operator Instructions] The first phone question today comes from Richard Knights from Barrenjoey.
Richard Knights: Just one on the dividend. I mean it's certainly a beat versus consensus in my numbers. Just wondering how you're thinking about dividend policy over the next couple of years with the relatively high sort of CapEx burden we've got in terms of development.
Mark Zeptner: I'll take that one. Thanks, Richard. Yes, look, we had a look at our dividend. Obviously, the gold price has run very strongly while I've been on holidays, I was tempted to extend in fact. But looking at the dividend, we look at the dividend and the buyback sort of together. The fact of the matter is and whether we're a little more conservative than others than we actually haven't been able to access the buyback much since we announced it in December. So a very small number of shares buy back will be freed up going forward more so. But the whole period through January and February pre these results has really limited our ability to buy back. So we thought a slightly stronger dividend was warranted in this case. In terms of moving forward, we'll look to reassess our dividend policy as we ramp up production as cash flows increase.
Richard Knights: Yes. Okay. Maybe just one more just on the ramp-up at Dalgaranga. Can you give us an indication when you're going to be mining stope ore as opposed to development ore?
Mark Zeptner: In the June quarter, very early in the June quarter, if not before. We're obviously getting back this week coming up to [ speed ] with what's going on. The mine is progressing very well. We're drilling paste fill holes, we -- as you see, we've got a decent stockpile of development ore. So it means we've put in a number of ore drives. The paste plant foundations are in place. And so we'll be ready to be stoping March, April at this stage, which is on schedule, if not slightly ahead.
Operator: [Operator Instructions] At this time, we're showing no further questions via the phone. I'll hand the conference back to Mark.
Mark Zeptner: Just checking on the webcast. It doesn't like there's any questions there either. This has got to be some sort of record for one question. It must be the time of day or the comprehensive nature of the presentation. As there's no further questions, we'll wrap up. Have a good day, everyone. Thanks for tuning in.